Kari Lindtvedt: Good morning and welcome to this presentation of Orkla’s Fourth Quarter Results. My name is Kari Lindtvedt, I’m Head of Investor Relations. We start today with President and CEO, Jaan Ivar Semlitsch, who will summarize the year we just left behind us and also give you the highlights of the fourth quarter results. Our CFO, Harald Ullevoldsaeter, will then give you some details on the financials. Before we move on to Q&A, Jaan Ivar will share some reflections on our main messages and give you some perspectives on the outlook. During the presentation today, you are welcome to post questions on the live chat and we will address them at the end of this session. With that, I’ll leave the floor to you, Jaan Ivar.
Jaan Ivar Semlitsch: Thank you, Kari and good morning here from a sunny day here in Oslo. 2021 has been another special year. We have experienced challenges, but also managed to grasp several opportunities. Most notable still is the pandemic and the more recent Omicron virus. Safeguarding our employees and maintaining service levels continue to be our short-term priority and status as of today is that most of our operations are running at full speed in spite of high infection rates and in 2021 we have managed a service level of 97%, which I regard as best practice during these times. Also the cost inflation we have experienced during the year is expected to continue into 2022. On a broad level, the surge in raw material prices, energy prices and cost and availability of transport solutions have impacted our 2021 performance in several ways as previously communicated. On the other hand, I’m pleased that growth in 2021 has been positively affected by volumes returning to the Out of Home channel alongside continued high consumption through the grocery channel and top line for the year was driven mainly by volume growth. Furthermore, during the year, we have made several structural changes in line with our strategy. We have acquired some great businesses with a total value of NOK7 billion and I would like to highlight Eastern, NutraQ and New York Pizza in particular. We also continued to evaluate our portfolio and have made some smaller divestments during the year. Going forward, we will apply our portfolio framework also presented at our Capital Markets Day to continue to look for opportunities always with an objective approach. Adjusted EPS ended NOK5.17 for the year, an increase of 3%. And the Board intends to propose a dividend of NOK3 per share for 2021, an increase of 9%. Coming out of 2021, I believe we have a good base for further growth into 2022. And my team and I are very committed to delivering on the ambitions and targets announced at our Capital Markets Day. I also believe Orkla is well positioned to be a solid dividend payer and growth company with both improving underlying EBIT and cash flow performance supported by a strong balance sheet. Now let’s have a look at the headlines for performance in Q4 ‘21. We delivered group EBIT growth of 19% in the quarter driven by Hydro Power and structural growth in Branded Consumer Goods, but growth was offset by negative currency effects and cost inflation. Organic growth in Branded Consumer Goods was 5.5% in the quarter with a good balance between volume and price, slightly higher on volume. This results in organic growth of 4.3% for the year on the back of good development last year and the volume growth was driven by comeback in the Out of Home channels, but we also experienced good volume growth in our grocery channel. On the other hand, profit conversion has been weak in the last few quarters and the trend continued into Q4. As we have said before, we experienced time lags in how fast we are able to compensate for increasing input costs with price increases to our customers. The inflation in raw material cost seems to continue and we have experienced accelerating increases in energy prices in our main markets, results of the strong profits in Hydro Power. The increases we have implemented are taking place according to plan and we will implement further price increases, which are likely to take effect from late Q2 and the beginning of Q3 this year. Adjusted earnings per share ended down 2% in the quarter. Negative development in BCG and Jotun was offset by improved profits in Hydro Power. Before I leave the floor to Harald, I would like to give you a status on the ambitions communicated on our Capital Markets Day in November. In addition to the updated financial targets, we have communicated some ambitions going forward. Firstly, we have set central targets for greenhouse gas emissions and recyclable packaging. At the moment, we are analyzing the reported figures and the exact results for 2021 will be published in our sustainability report on the March 25. What I can say is that we are progressing according to plan. We are incorporating our newly acquired businesses into our reporting and will continue to monitor progress. Secondly, we set an ambition to grow the share of digital sales by 15% by the end of 2025. For 2024, the share of digital revenue ended at 8% and with good momentum into 2022. Furthermore, we target 50% female leaders by the end of 2025. As at the end of 2021, 42% of leaders in Orkla were female. I am pleased with the status as of 2021 and will continue our work to further improve the balance. Finally, as you know, we are investing in these 3 prioritized areas for growth, which you can see on the slide; Consumer Health, our European pizza franchise platform and plant-based. And revenue for Consumer Health was NOK4.6 billion on a rolling 12-month basis in 2021, which represents 20% reported growth, of which just over 6% was organic growth. Structural growth includes NutraQ and Proteinfabrikken. As I am sure you will recall, our target is to grow by 50% by the end of 2025. We see good development especially in health, wound care and sports nutrition and a lot of potential in several categories and channels such as international expansion of Moller’s and Jordan. We have also made the necessary value chain investments to deliver on the growth for Moller’s, the most recent being the acquisition of Vesteralen Marine Olje in Northern Norway. And I believe our health business will have very good momentum also after the pandemic. Our pizza franchise operations continued to grow during Q4 and for the year, turnover amounted to approximately NOK2 billion for Orkla on a rolling 12-month basis. Good growth in like-for-like sales, new restaurant openings and comeback of volume in the wholesale business, all contributed to this development. The third-party wholesale business accounted for approximately a quarter of turnover in the year. At year end, Orkla had 663 restaurants in our network and consumer sales amounted to approximately €337 million on a rolling 12-month basis excluding VAT. Revenue from plant-based amounted to NOK1 billion in 2021 corresponding to growth of 23%. The main driver of growth of the year was a manufacturing contract, which supports scale advantages and capability development. Organic growth for Orkla’s branded products amounted to 7% in 2021. We see increased competition in Denmark where we have market-leading positions both in dairy and meat and branded growth in Norway, Sweden and other markets has been good. And now I will leave the floor to Harald for some more detail on the financials.
Harald Ullevoldsaeter: Thank you, Jaan Ivar and good morning everyone. Let’s have a look at the financials for the fourth quarter. Reported revenue growth for Orkla Branded Consumer Goods was 8.4% in the quarter. Acquired companies contributed 8.3% and foreign exchange change minus 5.4%. Earnings for Branded Consumer Goods, including headquarter, decreased by 6% in the same period. I will come back to this. Improvement for industrial and financial investment was mainly driven by high power prices for Hydro Power in the quarter compared to exceptionally low prices last year. While third quarter volumes were significantly lower than average historical levels, quarter four was more on par with average historical levels although some 10% below volumes in the corresponding period of last year. We had net non-recurring items of minus NOK88 million in the quarter mainly related to M&A and restructuring costs in addition to reassessment and payment of certain indirect taxes. The corresponding period last year included expenses and write-down in connection with ERP projects. Profit from associates decreased by close to 53% or NOK105 million from last year mainly related to Jotun, which experienced significantly higher input costs. The effective tax rate, excluding associates, was significantly higher in the quarter compared to last year. The most important driver for the full year effect was increased natural resource tax, naturressursskatt in Norwegian, due to strong profit growth within Hydro Power. Excluding this element, the full year tax rate would have been approximately 5 percentage points lower, which means approximately 22%. Adjusted earnings per share ended down 2% in the quarter, increased by 3% on a full year basis. Let’s then have a look at the cash flow performance for the full year. Cash flow from operation was NOK4.4 million. This is lower than in 2020 mainly explained by higher net working capital as a result of higher stock values. In addition, there are some phasing of customer bonuses and discounts. If you look at the net average working capital as a percentage of sales, it decreased from 10% in 2020 to 9.4% in 2021. Replacement investment were NOK374 million higher than last year and primarily related to factory projects. Let’s then have a look at the investments level for 2021 and going forward. In 2021, we invested NOK3.1 billion in our existing operations through maintenance and expansions corresponding to approximately 6.2% of revenues. Our largest expansion investments mainly reflect increased production capacity for plant-based products in Orkla Foods and Orkla Food Ingredients. In addition, there are some investments in increased production capacity in the Central Europe. Included in our maintenance CapEx is also the construction of the new biscuit factory in Latvia. Since this brand new factory will replace and consolidate existing production lines, it is classified as a maintenance investment while it will increase efficiency and improve innovation capabilities. We expect maintenance CapEx, including leases, to be 5% to 6% of revenues in 2022 driven by the completion of the biscuit factory. From 2023 onwards, we expect maintenance CapEx to be around 4% of revenues. Next, let me walk you through the net interest-bearing debt bridge for the full year 2021. Net debt, including leases, increased by NOK6.4 billion to NOK12.8 billion from 2020 to year-end 2021. This debt level is NOK1.3 billion lower than the end of the last quarter. Cash taxes and financial items totaled NOK768 million. Let me add that large part of the natural resource taxes in the fourth quarter are not due until 2022 and therefore, did not have a cash effect in 2021. Share buybacks and dividend payments account NOK3.1 billion in cash outflow in the period. The main cash outlay during the year was related to acquisition, which totaled NOK7 billion in 2021. This mainly consists of 67.8% of Eastern in March, the acquisition of NutraQ in June and 75% of Euro Pizza in August. Positive currency translation effects as a result of a stronger Norwegian kroner reduced the net debt by NOK593 million. This leaves us with net debt, including IFRS leasing, of NOK12.8 billion at year end and the corresponding figure, excluding leasing, is NOK10.8 billion.  Orkla still has a strong financial position and our net debt level at the end of quarter four corresponds to 1.5x EBITDA based on the last 12 months when acquired businesses are included in the EBITDA. This is well within our ambition not to exceed 2.5x EBITDA over time. I can also add that in January, Orkla received its first official rating from Scope Ratings and Orkla was assigned an investment grade rating of A-. Now let’s have a closer look at performance in Branded Consumer Goods. And then let’s start with the top line performance for Branded Consumer Goods. As you can see from the graph on the left, reported revenue growth from our Branded Consumer Goods business grew by 8%. Structural changes had a net positive impact of 8.3% while there was a negative ForEx translation effect of minus 5.4% mainly from a stronger NOK versus euro and SEK compared to 2020. Organic revenue growth added 5.5% this quarter compared to 1.3% organic growth for the same quarter in 2020. As you can see from the graph on the right hand, organic revenue growth was 4.3% for the year compared to 1.6% organic growth for 2020. This gives a CAGR from 2019 of approximately 2.9%. All business areas show positive organic growth in 2021 and on a CAGR basis from 2019. Moving on to growth per business area, like preceding quarters, there are large variations between the different business areas. The general picture is that the trend from the third quarter continued. The Out of Home channel recovered during the year up and until the reinforced restriction at the end of the fourth quarter. There are some indications that the Out of Home channel was not as negatively impacted this time as in earlier periods with strengthened restrictions. Sales in the grocery channels were also good in the quarter although with some easing compared to the strong sales earlier in the pandemic. More permanent changes in consumer habits are a very interesting topic and something we pay close attention to even though it is probably too early to conclude this analysis. As you can see from the graph on the right hand, overall organic growth was 5.5% as mentioned with growth in all business areas except of Care and Consumer Investments in the quarter. You can see full year figures in the column to the far right. Orkla Food Ingredients again experienced positive effects in Out of Home markets from the reopening in the second half of the year in most European countries with strong sales from quarter two and quarter three. Orkla Foods had good sales growth across markets while also benefiting from open society of Out of Home through its food service and convenience channels. Our House Care business in consumer investments faced strong comparables in quarter four like in quarter three with very high activity with the do-it-yourself market in second half of 2020. Orkla Care saw an organic decline of 1.2%, primarily related to the strong sales in Home & Personal Care Norway and Orkla Health in the corresponding period of 2020. Let’s then have a look at the profit performance in Branded Consumer Goods, including headquarter. EBIT for Branded Consumer Goods, including headquarter, decreased by 6.1% in the quarter reflecting a 9.1% underlying decline. The underlying decline in Orkla Foods, Confectionery & Snacks and Orkla Care in the fourth quarter was mainly caused by increased prices for raw materials, packaging, transport and energy. The higher production costs must also be seen in relation to the lower cost level in the fourth quarter of 2020 when the activity level was lower because of the pandemic. During 2021, Orkla has been exposed to a steep increase for the input factors already mentioned, including subcategories such as vegetable oils, grains, meat, vegetables and dairy which all experienced significant price increases. And this has led to significant cost increases during 2021 and this will last into 2022. As a result of continued cost increases in the fourth quarter, Orkla will implement further price increases mainly with effect towards the end of second quarter 2022 and beginning of third quarter 2022. And as you can see from the graph on the right hand side the EBIT margin decreased by 70 basis points on a rolling 12-month basis. The underlying performance in the 12-month basis is 90 basis points. Now let’s have a look at the performance by business area starting with Orkla Foods. Orkla Foods reported a revenue increase of 5.5% in the fourth quarter, of which 4.1% was organic growth. The sales growth was broad-based across most markets. The growth was strongest in food service, convenience and export, which were positively affected by reopening in several markets. Growth in the grocery channel was also positive albeit a more moderate pace. Profitability was negatively affected by higher input costs in addition to higher transportation and energy costs, the latter in a particular increase towards the end of the period. Price increases had a gradual effect during quarter four and will have further effects into 2022. Moving on to Confectionery & Snacks, Orkla Confectionery & Snacks had organic growth of 5.5% in the quarter. The growth was mainly volume driven as a result of higher market growth. Part of the growth must be seen in connection with a temporary destocking following the removal of the sugar tax in Norway last year. Earnings declined by 6.4% in the quarter. This was partly explained by negative currency translation effects, but the cost of essential raw materials, energy and transportation continued to increase in the quarter. Price increases were gradually implemented in the quarter and will have further effects into 2022. Let’s move on to Orkla Care. Orkla Care had sales growth of 6%, of which 1.2% was negative organic growth. Home & Personal Care had strong sales figures from last year heavily influenced by COVID related sales. Orkla Health also faced a strong corresponding period last year with some large orders that were evenly distributed throughout 2021. The online business, HSNG, had increased sales to the fitness market while experiencing a sales decline in its own online sales. Orkla Wound Care delivered another strong quarter compared to a COVID impaired 2020. Earnings declined by 1.5% due to negative organic growth and increase in input costs. Let’s turn to Orkla Food Ingredients. Orkla Food Ingredients grew sales by 16.7% in the quarter, of which organic growth was 16.1%. Increased sales were positively affected by easing of COVID related restrictions with a corresponding positive effect on the Out of Home market compared to 2020. Growth was also positively affected by price increases to compensate for higher input costs. The EBIT margin was positively impacted by acquired businesses, but offset by increased raw material prices, difficult logistics and even labor shortage in certain areas. Let’s have a look at performance in Consumer Investments. Orkla Consumer Investments had sales increase of 12.7% while organic growth was minus 5.7%. Continued solid growth in franchise driven consumer sales within pizza contributed positively, while demand for painting tools was lower compared to the high levels witnessed in 2020. EBIT increased by 28% mainly driven by the acquisition of New York Pizza. All business units, except for the textile business, contributed positively to the earnings growth. Increased transportation and raw material costs continued to impact negatively on the several business units, while price mitigation actions have partly offset this. Let’s end my presentation with some comments on Jotun. The positive sales trend continued in the fourth quarter with reported growth of 10% year-over-year. Adjusted for negative currency translation effects, the underlying sales growth was 15%. The underlying growth is mainly driven by increased prices to compensate for increased input costs. The sales growth was strongest in Protective Coatings and Powder Coatings, but all segments increased sales in the quarter. Operating profit declined due to lower gross margins as a result of higher input costs. All segments have implemented price increases and cost control efforts. Although this has helped to partly offset the earnings decline, further price increases are needed going forward. Thank you.
Jaan Ivar Semlitsch: Thank you, Harald. I will have some closing remarks. Summing up, I believe we have delivered on our strategy in 2021 and we have had some very clear short-term priorities and strategic priorities. It has taken a couple of years to lay the foundation for a renewed Orkla and a platform for good growth. And now coming into 2022, I feel we are there. Orkla is well positioned to be a solid dividend payer and growth company with both strong and underlying improved EBIT and cash flow performance supported by a strong balance sheet. Already now 20% of our portfolio is in high growth markets and on-trend growth categories with a clear M&A agenda going forward as well, clearly adding to our organic growth within our core. Moreover, our digital share is 8% and rapidly increasing. Furthermore, 40% of our sales are outside traditional grocery retailing with a less consolidated customer base and we expect good development in these channels as well. I am very confident of Orkla’s future and growth potential. And I guess now we will open up for Q&A with myself, Harald and Kari.
A - Kari Lindtvedt: Yes. We have received quite a few questions on the web mostly regarding the margin development and raw material prices not surprisingly. Let’s start with one from Markus Heiberg, Kepler Cheuvreux. Can you please break down the underlying margin impact in Q4 and 2021 by contribution margin and fixed costs?
Harald Ullevoldsaeter: I think we have answered that question previously. We will not give that kind of split. But I can say that the main driver for the underlying development in margin is being negatively affected by the increased input cost and of course also the increased energy costs, especially in quarter four.
Kari Lindtvedt: And the second question from Markus, can you please break down the growth in food ingredients between price and volume?
Harald Ullevoldsaeter: It’s I cannot go into details, but I can say the larger part is related to volume.
Kari Lindtvedt: And I believe we also have some positive price effects on the back of that, I believe.
Harald Ullevoldsaeter: Yes.
Kari Lindtvedt: How do you consider your market share development in the Nordic grocery channel this quarter?
Jaan Ivar Semlitsch: I could answer that. It varies a bit between the categories and the markets. We do see some early signs of improvement in some very important categories, but we don’t reveal the specific figures. But I am glad to say that of our organic growth during the quarter four, it’s more volume than price in that matter. Also perhaps worth noting that in some areas where there is very high competition, we see also the market expanded – expanding due to more innovation and more launches coming in.
Kari Lindtvedt: Great. Thank you. Then we have three questions from Charles Eden, UBS. I will take them one at a time. Are you able to quantify then the levels of raw material inflation that you are experiencing, please?
Harald Ullevoldsaeter: No, we won’t go into the details. But I can say it’s significantly and it’s a huge increase, especially in the second half of 2021 and this will be even higher. The cost increases for Orkla will be even higher in 2022.
Jaan Ivar Semlitsch: And I guess a big factor is the increase in energy prices, especially during second half of November and December, and we see that also of course in our hydro power profits.
Harald Ullevoldsaeter: Yes. And it’s very broad based. It’s all over the raw material categories, but also the packaging and plastic and everything and transportation and logistics. So, it’s very broad-based.
Kari Lindtvedt: That’s a good bridge to the next question. Will you be pricing to offset purely raw material cost increases or are you trying to pass on higher cost in logistics and freight too?
Jaan Ivar Semlitsch: Yes, I think it’s the whole cost base that we will mitigate. That’s for sure both on transportation and energy cost. And also of course we take also into account the wage inflation where we see that also coming into different markets.
Kari Lindtvedt: Great. And then the third and last question from Charles, do you believe there was notable forward buying from customers in Q4 ahead of price increases at the start of 2022?
Jaan Ivar Semlitsch: We don’t have any indications of that. It seems to just be very good momentum and we have had no delisting from the effects with the increases we have made. So, I would say it’s good momentum on that. Of course, it’s difficult to be specific on that, but in general I would say it’s good.
Kari Lindtvedt: Great. Then a question from Petter Nystrom, ABG Sundal Collier. On price hikes in branded consumer goods, you said prices were increased in Q4 for branded consumer goods. When did these adjustments have effect, i.e. at the start or at the end of the quarter? My understanding is that price adjustments in Norway are done in February. Should we expect any impact from these in Q1 and Q2?
Jaan Ivar Semlitsch: Perhaps I could start just with the calendar. Of course in some markets, we have increased during Q4. But in Norway in particular, it’s the 1st of February, where the price increases will have effect. We did see increases 1st of July. But in Norway it’s the 1st of February, which is the next sort of milestone for the effect of the price increases.
Harald Ullevoldsaeter: Yes. And we also said today that due to the cost increases during quarter four, we will increase prices further. So, we will also have price increases by – during quarter two, mostly by the end of quarter two and beginning of quarter three this year.
Kari Lindtvedt: Thank you. Then we have four questions from Ole Martin Westgaard, DNB. The first one, how much was the contribution from price on organic growth in Q4? Have you seen any effect on volumes from the increased prices?
Jaan Ivar Semlitsch: Yes. On the organic growth, it’s a good mix between price and volume, slightly higher on volume than price for Q4. And the second, I guess we answered that already.
Kari Lindtvedt: Yes. We haven’t is the answer and not yet not significantly. Second question, how should we think about the Q4 branded consumer goods EBIT margin? Assuming that raw material cost stays put at the current level, should margin recover from Q1?
Harald Ullevoldsaeter: We will not guide on the short-term margin development, but we are confident that we will restore our margin level over time. But it is difficult to estimate the exact timing of this.
Jaan Ivar Semlitsch: But again as I mentioned in my presentation, the increases we have made, they are according to plan and the volume is there as well. But given the sharp increase that we have seen also during especially second half of November and December, we will just do more increases and we are confident that we will implement that as well in our plans in the same way as we have done so far.
Kari Lindtvedt: Okay. Third question being on plant-based, how was performance from Naturli’ in Q4 and for the year 2021?
Jaan Ivar Semlitsch: Yes. So, in Denmark where we have a big position, I am not happy with the development on the market share for Naturli’ in Denmark. In all other markets, it’s a positive development, especially Norway on Naturli’. And then we have FELIX and Anamma in Sweden with very good momentum and also outside of the Nordics where we are now also introducing plant-based to Central Europe. But in Denmark we need to be even better in protecting and increasing our position for Naturli’.
Kari Lindtvedt: And the final question from Ole Martin. How was performance in India in Q4?
Harald Ullevoldsaeter: Performance in India was quite good actually in Q4, both top line and bottom line.
Jaan Ivar Semlitsch: I am very happy with the Eastern transaction and the way it’s being led and integrated between MTR and Eastern. Eastern is a very strong local brand in the same way as MTR. So, we expect good continued development in India.
Kari Lindtvedt: Thank you. What seems to be the final question then from Petter Nystrom. During your Capital Markets Day, you mentioned that you could be – that it could be a possibility to spin-off and list parts of Orkla companies to the stock exchange. Have you got any update on this?
Jaan Ivar Semlitsch: Yes. So, we have made some smaller divestments during the year, but we are applying the portfolio framework that we presented at our Capital Markets Day and working actively on that with an objective approach and we will come back when there is specific – when there are specific updates on that agenda. But it’s very high on our agenda to have an active view on our portfolio.
Kari Lindtvedt: Thank you. And then Markus Heiberg again, one final question. For the price increases communicated for Q2 and Q3 2022, are these matching the timing of cost increases in the P&L?
Harald Ullevoldsaeter: There won’t be a perfect match for this for every company, always not.
Kari Lindtvedt: Both to the purchasing contracts and notification periods that the customers require. Okay. I think that seems to be it. That concludes the questions from the web. Thank you both, Jaan Ivar and Harald.
Jaan Ivar Semlitsch: Thank you, Kari.
Kari Lindtvedt: I do remind you that our annual report, including our sustainability report, will be published on the March 25 and our Annual General Meeting will be held on the April 20. We will be back with Orkla’s first quarter results on the May 5. This concludes the session for today. Thank you all for joining.